Operator: Ladies and gentlemen, thank you for standing by. Welcome to the General Mills First Quarter Fiscal 2019 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, September 18th of 2018. I would now like to turn the conference over to Mr. Jeff Siemon, Vice President of Investor Relations. Please go ahead, sir.
Jeff Siemon: Thanks, Celina, and good morning, everybody. I am here with Jeff Harmening, our Chairman and CEO; and Don Mulligan, our CFO. In addition, Jon Nudi, who leads our North America Retail segment, is also with us for the question-and-answer portion of the call. And I’ll turn things over to them in a moment, but before I do, let me cover a few housekeeping items. Our press release on first quarter results was issued over the wire services earlier this morning, and you can find the release and a copy of the slides that supplement our remarks this morning, on our Investor Relations website. Please note that our remarks this morning will include forward-looking statements that are based on management’s current views and assumptions and the second slide in today’s presentation was factors that could cause our future results to be different than our current estimates. In addition, you’ll note in the release that this is the first quarter we are incorporating operating results for Blue Buffalo, which we are reporting in a new Pet operating segment. And as we mentioned on our fourth quarter call, we are reporting Blue on a one month lag to our corporate calendar, which means the Pet segment’s first quarter includes results through July. Finally, I’ll note that beginning this quarter, we’ve adopted the new accounting requirements for the presentation of pension, post-retirement and post-employment benefit expenses. This change separates service costs from other benefit-related expenses or income, which have moved out of corporate items and into a new line below operating profit. Just to be clear, there is no impact to net earnings attributable to General Mills. For those of you looking to update your models, we posted a revised fiscal 2018 quarterly income statement to our Investor Relations website, yesterday. And with that, I’ll turn you over to my colleagues, beginning with Jeff.
Jeff Harmening: Thanks, Jeff, and good morning, everyone. I’m pleased to say that we’re off to a good start in fiscal 2019. We drove organic net sales growth for the fourth consecutive quarter, nearly 0.5%, which in this presentation rounds down to flat. The Blue Buffalo transition is progressing well. And we continue to expect double-digit top and bottom line growth for that business this year, excluding the acquisition-related charge. First quarter adjusted operating profit and adjusted diluted EPS results finished ahead of our expectations. And we remain on track to deliver our full-year fiscal 2019 targets. Slide five summarizes General Mills’ first quarter financial performance. Net sales totaled $4.1 billion. Organic net sales were up modestly, driven by positive net price realization and mix across all four legacy operating segments. Adjusted operating profit of $641 million was up 3% in constant currency including an 8-point headwind from a onetime purchase accounting charge related to the Blue Buffalo acquisition. Adjusted diluted earnings per share of $0.71 were in line with year ago levels in constant currency, despite a $0.06 negative impact from the purchase accounting charge. As I mentioned, these results were ahead of our expectations on the bottom line. We’re making good progress against the three key fiscal 2019 priorities we outlined on our Q4 earnings call. As a reminder, those priorities are, first, to grow our core by continuing to compete effectively through compelling consumer news, innovation and in-store support, and by accelerating our differential growth platforms; second, to successfully transition Blue Buffalo into the General Mills family; and third, to deliver on our financial commitments, leveraging our holistic margin management program to drive efficiency, increasing our price mix through our enhanced strategic revenue management capability and maintaining a sharp focus on working capital and cash flow. Let me share a few highlights of our first quarter progress against each of these priorities, starting on slide seven. Growing our core in fiscal 2019 represents a step-up from our fiscal 2018 organic growth rate. And we’ve identified a few specific areas where we expect to deliver improved performance in 2019. These include improvements in our U.S. Yogurt and emerging market businesses, greater contributions from innovation, stabilization of U.S. retail distribution trends, and increased price mix benefits as we leverage strategic revenue management. Through the first quarter, we’ve seen improvements in almost all of these areas. U.S. Yogurt and our emerging markets posted better net sales results compared to fiscal ‘18. Our first half new product launches are off to a good start, including our new YQ and petite Oui yogurt launches in the U.S. and new Häagen-Dazs cups and stick bars in Europe and in Asia. And our U.S. distribution was down just 1% in Q1 after declining mid single digits in 2018. Our organic price mix was up 1% in the quarter, which was in line with last year’s results. And we expect our SRM actions will generate increasing price mix benefits as fiscal 2019 unfolds. One of the reasons we believe we can achieve our price mix goals in fiscal ‘19 is that we’re seeing price mix contributions building and the broader industry in recent quarters. As you can see on slide eight, total U.S. food and beverage retail sales were up nearly 3% in the first quarter in Nielsen measured outlets, almost 2.5 points better than a year ago. And that’s being driven by more than 2 points of positive price mix. In fact, price mix in the industry has increased in each of the last four quarters, which isn’t surprising given the uptick we’ve seen and input cost inflation. What’s even more encouraging is that the industry volumes have improved a bit over that time. At the same time, as industry trends have improved, we’ve seen our competitiveness improved significantly, as measured by our market share performance. Slide nine shows our market share evolution in our nine largest U.S. categories, which collectively represent more than 80% of our U.S. retail sales. After gaining share in only 2 of 9 categories in fiscal 2017, we significantly improved our competitiveness over the last 15 months through stronger news, innovation and in-store execution, resulting in steady share improvement in fiscal 2018 and market share gains in 8 of the 9 top categories in the first quarter of 2019. Let me give you a few specific examples of how we’re competing effectively across some of our key platforms around the world. We grew our cereal business in fiscal 2018 in the U.S. retail and away from home channels and outside North America through our CPW joint venture. Our U.S. Cereal business grew market share yet again in the first quarter, driven by continued strong performance on our taste brands. Trix posted and more than 60% retail sales growth behind the relaunch of our classic tricks colors and marshmallow news helped Lucky Charms post 9% retail sales growth on top of last year’s 16% growth rate. Our new Cheerios Oat Crunch offering already captured a half a point of share in the category in August as we continue to deliver news benefits on the country’s largest cereal brand. And our first quarter success extended to away-from-home outlets with cereal net sales in our Convenience Stores & Foodservice segment up low single digits, given by continued strong performance and K-12 schools and colleges and universities. U.S. Yogurt continues to improve behind our strategy to expand into faster growing segments of the category. We entered the simply better segment in fiscal 2018 with the introduction of Oui by Yoplait. Distribution on Oui is still growing this year, driven by new varieties of our core Oui platform and our launch of Oui Petites, a new sub-line featuring indulgent flavors such as Milk Chocolate and Sea Salt Caramel. In July, we added our presence in simply better yogurt with YQ, a new yogurt made with ultra-filtered milk that appeal to modern weight managers, seeking high protein, less sugar, simple ingredients and great taste and is 99% lactose-free. And as yogurt consumers increasingly shift away from Greek, we’ve seen considerable improvement for Yoplait Original, including growth on our single unit cup business and we’re also growing our largest kids’ yogurt business Go-Gurt behind fun news and engaging brand messaging. We’re bringing our U.S. innovation strategy to Europe this year with the introduction of simply better glass pot offerings in both the UK and France under the Liberté and Panier brands. And we continue to innovate in high growth areas such as organic and non-dairy yogurts. In addition to our global platforms, we’ve driven good performance on our regional businesses so far in fiscal 2019. In the U.S., we’ve entered the soup season with good momentum on Progresso including low-single-digit retail sales growth and market share gains in the first quarter. Retail sales for fruit snacks were up mid single digits in Q1 as we’ve shifted the focus of our messaging to a teen target. And Totino’s hot snacks posted high single digit retail sales growth, thanks to brand building and innovation that connects with our millennial male consumer. We’re also growing in China on our Wanchai Ferry dumplings business. We’ve had good success with our new premium dumpling offerings and our advertising campaign focused on Wanchai Ferry’s superior taste. And we’re encouraged by the improved performance we saw in Brazil in the first quarter across our Yoki snacks businesses, especially popcorn, where we gained record share behind our seasonal brand campaign and stronger in-store execution. In addition to competing effectively, the second component of our growing our core in fiscal ‘19 is accelerating our four differential growth platforms. We generated 3% year-to-date global retail sales growth on Old El Paso, led by our performance in the U.S. On this base0driven, non-seasonal business year-round consumer support is critical. So, we added incremental media behind our Anything Goes In Old El Paso campaign, and it’s working. Retail sales were up 6% and baseline sales grew high single digits in the U.S. in the first quarter. We’re also benefiting from strong new items including our new hint-of-lime shells, crispy taco seasoning and mini tortilla bowl kits which have helped grow distribution for the Old El Paso brand. In our natural and organic portfolio, we continued to optimize our assortment through SKU rationalization. While this has dampened total growth, we are seeing strong performance on our core products including 13% retail sales growth on Annie’s Mac and Cheese and mid-single-digit growth on Annie’s organic fruit snacks and graham crackers in the first quarter. We’re seeing good performance elsewhere in this portfolio too, including EPIC snack bars and Cascadian Farm frozen products which are both growing double digits. Year-to-date measured channel retail sales for our global snack bars business were in line with last year with stronger growth in non-measured markets and channels. Outside North America, Nature Valley and Fiber One innovation and distribution expansion drove strong double digit retail sales growth in Europe and Australia. Our Pillsbury Cookie Cake bars are growing rapidly in India. And we’re expanding brand penetration and growing distribution in Mexico and other parts of Latin America. Within the U.S., Lärabar posted another quarter of double-digit retail sales growth, while Nature Valley retail sales were down 1%. Fiber One on the other hand has underperformed our expectations with retail sale down more than 20%, driven by intense competitive pressures and distribution declines. We have more work to do on Fiber One in the U.S. and we expect improved performance in our U.S. snack bars business in the back half of the year, leveraging media and innovation to support Nature Valley, Lärabar, EPIC as well as Fiber One. Häagen-Dazs ice cream, our final accelerate platform, posted 8% global retail sales growth on top of double-digit growth in the same period last year. In the UK, our second largest Häagen-Dazs market in the world, we drove 26% retail sales growth and achieved record sales and penetration behind our Wimbledon activation. Globally, we’re benefiting from good innovation such as our new peanut butter flavors and sticks and pints, as well as in our new packaging, design and other brand building support. So, while our year-to-date performance across key platforms has been mixed, we feel good about our ability to improve our top-line performance over last year in total, and to grow our core in fiscal 2019. Now, let’s shift gears and talk about our second key priority for fiscal ‘19, successfully transitioning Blue Buffalo into the General Mills family. I am pleased to say that the combination of the two organizations has gone smoothly so far. And I’ve been impressed by the quality of the Blue team in Wilton, Connecticut and across the country. Our transition philosophy has been clear from day one, bring General Mills capabilities to bear where they can add value and stay out of the way where they’re not needed. We’re seeing early wins across key areas including supply chain, sales, innovation and strategic revenue management. From a sale in standpoint, net sale for Blue Buffalo were up 40% on a pro forma basis in Q1, including a stub period at the end of April after we close the acquisition. Excluding those additional days, pro forma net sales were up mid single digits. Looking at in-market performance. We continue to see strong pet parents sell-through on a like-for-like basis with total retail sales up 9% in the quarter. We expect the timing of channel expansion will continue to drive variability in our quarterly net sales results this year. For example, at this time last year, Blue Buffalo was launching their initial wave into Food, Drug and Mass customers. We saw a dramatic growth as they filled the customer pipeline. We’ll lap that growth in the second quarter of this fiscal year. However, even with the variability of the year, we continue to expect Blue Buffalo will deliver double-digit top and bottom-line growth for the full year, excluding the impact of purchase accounting. On slide 16, you can see the key components of our 9% retail sales growth and how they break down by channel. Our expansion into the Food, Drug and Mass channels is progressing well with retail sales for Blue up 20% since May. And Blue’s market share continues to grow, reaching high single digits for initial way of customers and double digit set of few customers who have really gotten behind the Blue brand. Pet food category retail sales declined mid-single-digits in the Pet Specialty channel in the first quarter as pet parents continue to shift to e-commerce in the Food, Drug and Mass channels. And with less support from some retail partners, Blue’s retail sales were down double digits, lagging the category. And Blue continues to win in the rapidly evolving e-commerce channel with retail sales up more than 35% in the quarter and market share increasing as well. As we look ahead to the rest of fiscal 2019, we have plans to accelerate our growth in pet, while maintaining our channel-specific approach. We’ll continue to execute our Food, Drug and Mass expansion in a thoughtful way, ensuring we’re learning from each new customer launch. We’re also focused on improving our trends in Pet Specialty. Billy Bishop and his team have recently held top-to-top meetings with the new CEOs at our largest customers in the channel and have reinforced our commitment to their business. Looking ahead, we think there’s an opportunity to drive improved performance for Pet Specialty and for Blue by improving in-store execution, continuing to support our Pet Detective program and maximizing visibility of exclusive innovation that we’re launching in the specialty channel this year. And we think we can help our customers’ categories as we do this. Finally, we’ll continue to drive robust growth in e-commerce. We’re partnering with the biggest e-commerce pet retailers to drive visibility for Blue on the digital shelf, which will help solidify its position as the number one pet food brand online. Our third key priority this year is to deliver our financial commitments, and we’re off to a good start here as well. We’re on track to deliver $450 million of cost of goods HMM savings, led by benefits from our global sourcing team. We’re capitalizing on opportunities to drive improved price mix, leveraging the analytical insights generated by our strategic revenue management group. We continue to maintain a sharp focus on cash, resulting in another reduction in core working capital in the first quarter. And as I said earlier, we finished the quarter ahead of plan on the bottom-line. With that as an overall summary, let me pass it to Don to provide more details on our financials and our segment level results.
Don Mulligan: Thanks, Jeff. Good morning, everyone. Jeff provided a summary of our first quarter financial results. Now, I’ll share a few additional details, starting with the components of net sales growth on slide 20. Organic net sales rounded down to flat versus year-ago, driven by positive net price realization in mix across all four legacy segments, offset by lower contributions from volume. Foreign currency translation did not have a material impact on net sales. And the net impact of acquisitions and divestitures yielded a 9-point benefit to net sales. Turning to our segment results, on slide 21. North America retail net sales declined 2% as reported and were down 1% on an organic basis. Consumer takeaway was a bit stronger, with Nielsen measured retail sales flat in the quarter. Net sales in the U.S. snacks operating unit were down 4% due to declines on Fiber One snack bars, partially offset by strong innovation performance on Lärabar and EPIC bars. Canada net sales were down 4% as reported and 2% in constant currency. Net sales for U.S. Meals & Baking were down 2%, primarily driven by the comparison to last year’s first quarter that included co-packing sales related to the Green Giant divestiture. U.S. Yogurt net sales were also down 2% as declines on Greek and Light were partially offset by Oui and YQ innovations in our simply better segment, and solid performance Go-Gurt and original style yogurt. Retail sales results for yogurt were stronger with Nielsen measured takeaway nearly flat in the quarter. U.S. Cereal posted 1% net sales growth behind effective product news on Lucky Charms, Trix and other core brands. Constant currency segment operating profit increased 3% in the first quarter due to benefits from net price realization mix, lower SG&A expenses and benefits from productivity initiatives, partially offset by higher input cost inflation. In Convenience Stores & Foodservice, first quarter organic net sales increased 4%. Our Focus 6 platforms delivered 4% net sales growth led by Chex Mix snacks and Pillsbury Stuffed Waffle in convenience stores as well as frozen pot breakfast and bullpen cereals in K-12 schools. Segment operating profit increased 14% in the quarter, driven by net sales growth from the higher margin Focus 6 platforms and increased cost savings, partially offset by higher input cost inflation. Organic net sales for Europe and Australia segment were up 1% in the first quarter, driven by strong performance at our ice cream snack bar platforms. At Häagen-Dazs, net sales were up double digits as we continue to expand our distribution in Australia and Europe with snack bar, with stick bar, MiniCup and pint innovation, and as we execute local brand activations in key markets to better engage with consumer and drive trial. Snack bars also grew double-digits. Thanks to excellent performance on our Nature Valley and Fiber One brands as we continue to increase household penetration behind distribution gains, effective messaging and strong innovation. First quarter segment operating profit increased 12% in constant currency due to favorable sales mix and lower SG&A expenses, partially offset by raw material inflation and currency-driven inflation on products imported into the UK. Our Asia and Latin American segment posted an 8% increase in organic net sales in the first quarter with good growth in Brazil, China and India, the segment’s 3 largest markets. Our performance in Latin America has improved dramatically from last year, as we’ve transitioned past our Brazil enterprise reporting system implementation and benefited from our new Yoki brand campaign and terrific performance on snack bars. In Asia, Häagen-Dazs posted strong growth by the effective consumer activation including our Let’s Peach Party campaign in key markets. Wanchai Ferry in China strengthened due to innovation on core dumplings and improved in-store execution. And our snack bars platform continued to deliver excellent results in India and the Middle East. Segment operating profit in Asia and Latin America was $12 million compared to $16 million a year ago, due to input cost inflation and higher SG&A expenses. For our Pet segment, first quarter net sales totaled $343 million. Jeff mentioned that this was up 14% on a pro forma basis, including 7 additional days from the stub period in April. It was up mid-single-digits without the extra days. We expect pro forma net sales growth to accelerate in the second half of the fiscal year as we execute against our growth plans in FDM, Pet Specialty and e-commerce channels. Segment operating profit of $14 million was $62 million below prior year on a pro forma basis, driven by $56 million of non-cash purchase accounting charges including an inventory adjustment and intangible amortization, as well as significant input cost inflation and start-up costs related to two new production facilities. Year-to-go Pet segment operating profit will be driven by accelerated top-line performance, positive mix, benefits from a recent price increase, HMM initiatives and the ramp-up of acquisition synergies. Finally, as Jeff mentioned, we continue to expect double-digit top and bottom-line growth for the Pet segment in fiscal ‘19 excluding purchase accounting charges. Turning to margin results on slide 26. First quarter adjusted gross margin and operating profit margin were below last year, driven by input cost inflation and the one-time purchase accounting inventory adjustment, partially offset my positive net price realization and mix, COGS HMM savings and lower SG&A expenses. Excluding the one-time purchase counting charge, adjusted gross margin was down 30 basis points and adjusted operating profit margin increased 50 basis points. For the full-year, we continue to expect input costs inflation will be 5% of cost of goods, 1 point above fiscal ‘18 levels. And we expect price mix benefits from our SRM actions will build in the coming quarters. Slide 27 summarizes our joint venture results in the quarter. CPW net sales were down 2% in constant currency due to declines in Latin America partially offset by strong performance in the Asia, Middle East and Africa region. Häagen-Dazs Japan net sales declined 14% in constant currency, driven primarily by declines on core mini cups and the comparison against 14% growth in the year-ago period. Combined after-tax earnings from joint ventures totaled $18 million compared to $24 million a year-ago, primarily driven by our $5 million after-tax share of a restructuring charge at CPW, which is excluded from our adjusted earnings. Slide 28 summarizes other noteworthy income statements items in the quarter. Corporate unallocated expenses excluding certain items affecting comparability increased by $22 million in the quarter. Benefit plan non-service income totaled $21 million, compared to $20 million in the same period last year. Net interest expense increased $61 million, driven primarily by debt raised to fund the Blue Buffalo acquisition. The adjusted effective tax rate for the quarter was 22.7% compared to 30.5% a year-ago, primarily driven by net benefits related to U.S. tax reform. We continue to expect our full-year adjusted effective tax rate will be in the range between 23% and 24%. And average diluted shares outstanding were up 3% in the quarter. Slide 29 provides our balance sheet and cash flow highlights in the quarter. Our core working capital balance totaled $671 million, down 31% versus last year’s first quarter as benefits from our terms extension program, more than offset higher receivable and inventory balances from Blue Buffalo’s addition to our balance sheet. First quarter operating cash flow grew to $607 million, primarily reflecting net improvements in working capital. Capital investments totaled $113 million and we paid $294 million in dividends in the quarter. Let me close today’s remarks by reiterating that we remain on track to deliver the fiscal ‘19 guidance we outlined at our Investor Day in July. Reported net sales are expected to increase 9% to 10% in constant currency, including the addition of Blue Buffalo. We expect organic net sales to range between flat and up 1%. We estimate constant currency adjusted operating profit will increase 6% to 9% from the base of $2.6 million reported in fiscal 2018. As Jeff Siemon mentioned upfront, this 2018 base has been revised to reflect the change in presentation of benefit plan non-service income. Constant currency adjusted diluted EPS is expected to range between flat and down 3% from the base of $3.11 earned in fiscal ‘18. We currently estimate foreign currency to be immaterial to full-year net sales, operating profit and EPS. And we’re targeting free cash flow conversion of at least 95% of adjusted after tax earnings. With that, let me open the lines for questions. Operator, can you please get us started?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Andrew Lazar of Barclays. Please go ahead with your question.
Andrew Lazar: Good morning, everybody.
Jeff Harmening: Good morning, Andrew.
Andrew Lazar: Just two quick things. And if I missed this, I apologize. I think -- was there anything, I guess, in 1Q that perhaps helped lower relative SG&A a bit more than we all on the outside might have thought? And if so, maybe how much of that might be timing related and when do you think that comes into play to impact SG&A as we go through the year? And then, second, I think Don, last quarter, you’d mentioned that perhaps you expected gross margin to be roughly flattish year-over-year for the full-year. Is that still an expectation that you think makes sense here, given what we saw in the first quarter? Thank you.
Don Mulligan: Yes. Sure, Andrew. I’ll tackle both of those. For SG&A, -- I guess, I’ll back up and just talk about the results more broadly versus our expectations. And as Jeff said, we were pleased to start the year with a stronger profit performance than our expectations. Frankly, I think it’s a testament to the organization’s focus on cost discipline while we drive improved top-line. Just to set the stage, the sales did come in where we expected. The mix by business is different, but in total, we were on plan. So, our overperformance on the bottom-line was across P&L, many P&L items including SG&A. Gross margin was better due to favorable mix, project timing and inventory absorption. Andrew, to your question, SG&A benefited from lower corporate spending, some of our departmental spending, which will be phased later in the year, some stock-based comp being lower and media being slightly lower than planned. And plus, below that the tax rate came in a bit favorable to our plan, it was clearly under our 23 to 24 range for the full-year. So, we feel good about how we came out of the first quarter with the lead. But we know it’s a dynamic environment and that really did factor into our thinking about the full-year -- the full-year guidance. So, if we go back to SG&A, the key factors were the phasing of our corporate spending, which will phase more in the back half of the year or the back part of the year now in the stock-based comp and media. Of those, I think the stock-based comp will stick for the year, but the others I think will tend to unwind is a year unfolds. In terms of gross margins. What we saw in the quarter was that it reflects higher inventory levels -- or higher inflation levels, excuse me, that haven’t yet been fully offset by benefits of price mix and HMM. And as I mentioned in my comments, we expect price mix to improve as the year unfolds and we also expect HMM to increase as we get continued and incremental benefits from our global sourcing activity. That all said, I think as per our guidance at the beginning of the year, our operating margins will be down somewhat for the year, if you look at what our guidance for sales versus our guidance for operating profit would indicate. And I think just based on how we’re seeing some of the investment against the business, Andrew, I think there’s probably going to be a little bit more pressure on gross margin than we originally anticipated. As we look at what investment, what growth vehicles are working for us, as we look through the frame of our total brand investments, we’re seeing some activity that’s probably going to put a little bit of pressure on our gross margin. But we think it’s going to have a good payback on the top-line for us.
Operator: Our next question comes from the line David Driscoll of Citi. Please go ahead with your question.
David Driscoll: Just a quick follow-up on Andrew’s question on gross margin. So, I understand your full-year comments, but wouldn’t the second quarter maybe somewhat negatively impacted by the factors that you described? So, the price mix benefits more back half of the year, but the inflation I think is relatively even throughout the year. So, gross margin down in second quarter and then it gets positive in the back half. Just that little modeling clarification would be would be helpful. And then, I have a question on Blue Buffalo, please.
Don Mulligan: Yes. I think that you’re right, David. The flow will be such that we’ll see a larger benefit both from HMM and price mix in the back half of the year. So, we expect to see some of the gross margin pressure continue in the second quarter.
David Driscoll: Okay. And then, on Blue Buffalo, you reiterated your double-digit sales growth guidance. Takeaway was up 9%. So, can you just talk a little bit about why you’re so confident in the double-digit sales growth? And then maybe within that answer, just talk a little bit more about Pet Specialty and why you think you can improve the trends there?
Jeff Harmening: Yes, David. So, this is Jeff. I’ll take that. I mean, there are a lot of moving parts in our business in general and specifically to Blue Buffalo with extra weeks and sell-ins and sellouts. But the key for me and I think in all of that, you hit the nail on the head which is 9% takeaway. And when consumers are buying it, usually good things follow, and we have 9% growth. And I’m confident, because we’re generating that kind of growth and we still only have 3% household penetration among pet parents. We have a lot of room to expand in Food, Drug and Mass. We’re only at 30% distribution. And in Pet Specialty, we think that we can not only improve our business, but in the process, help our retail customers. And we’ll do it -- the way that General Mills builds categories, look, the more we look at this category, the more we like it, the more it feels like categories, we understand and know how to drive and will improve in Pet Specialty food through things like innovation, through shelf management, through merchandising, through consumer promotions, all the levers that we know in the rest of our food business. They all apply to Pet, and they all apply to the Pet Specialty channel. And so, we feel like we know how to do this. And we’re committed to working with the new leadership in the Pet Specialty channel, to help Blue Buffalo, which we think -- we think, in turn can help their business as well.
David Driscoll: And then, Jeff, just one follow-up on your comments here. In the second quarter, I think you called out in your script, the year-ago sell-in from the initial FDM customers. Does that mean that Blue Buffalo sales will be flattish in this upcoming second quarter because of that real tough compare, could they actually be down? Just any magnitude of guidance would be helpful.
Jeff Harmening: Yes, David. I think when we think about the Blue Buffalo business, we do have confidence and a line of sight to the growth for the whole year, double-digit top and bottom line. But, one of the things that’s also very clear to us is it’s going to be variable, both on the top line and the cost side. On the top line due to changes in sell-in and inventory, and if you look at the quarterly results from last year, you’ll see that our second quarter was a big one for Blue Buffalo because they had a lot of sell-in. So, I would anticipate that in the second quarter, I’m not going to give the absolute level of sale, but I would anticipate that our sell-through to consumers will far, far outpace our RNS realization that we show in the income statement. And as we continue to expand in the Food, Drug and Mass channel, I think that will reverse over time. And then, the same will be true on the cost side, as we’re building new plants in Richmond, as we have a new treat facility up and going in Joplin, as we’re building new distribution centers. The timing of those costs isn’t always associated with the revenue. And so, we’ll see a lot of variability and we’ll just have to get used to that as we continue this expansion. It’s all part of the expansion. We saw similar things with Annie’s, Annie’s which just happened to be a smaller business. And so, we’ll make sure we flag to you. But, I think you have the general sense of how things are going to flow right.
Operator: Thank you. Our next question comes from the line Chris Growe of Stifel. Please go ahead with your question.
Chris Growe: Hi. Good morning. I just had a question for you, if I could. In relation to the U.S. where your sales were down in North American retail, 2%, but you gained share in the majority of your categories. So, it just seems that you need stronger sales growth across your categories to really accelerate your revenue growth. I guess, my question would be, do you expect your categories to grow in fiscal ‘19? And I guess, what are the initiatives you have in place, I’m sure, it’s innovation-driven, marketing-driven to help accelerate the growth of these categories which seemed a bit of a impediment to your sales currently?
Jon Nudi: Hey, Chris. It’s Jon Nudi. So, we saw our categories in Q1 grow about 1%. We were flat. So, if you put non-measured channels on top, we expect -- we believe that we grew about 1% in total consumer movement. So, as we look forward, we think the categories will continue to grow. We feel really good about our plans as we move through the rest of the year. It really starts with supporting our big brands. And we feel good about our media plans and are above the line promotions as well. I feel really good about innovation. In fact, in Q1, we saw 15% more innovation or RNS coming from innovation in the year prior. We believe that our plans would get even stronger as we move through the year. And then, distribution will continue to build as well. So, Jeff mentioned, we’re down about 1 point from a distribution standpoint in Q1. We expect to get back positive as we move throughout the year. And even in Q1, our share of distribution was actually positive as retailers are cutting back the number of SKUs, not shelves. So, we feel good about our plan for the year. In Q1, we saw about 2-point gap between total movement and RNS. And really that was related to pipeline and inventories at our customers. In fiscal ‘18, we saw about a 1-point gap. We expect that to be the case again in fiscal ‘19. So, you’ll see some of that work back our way as we move throughout the year. So again, we feel that our categories are going to grow. We feel good about our ability to compete on and believe that we can deliver for the year.
Chris Growe: And just one other question, if I could. And forgive me if I missed this, Don. But, how much was inflation up in the quarter? And then, I’m just curious on your SRM initiatives. Price mix was positive this quarter. Are there more price increases that go into place, something you want to get in each of those and not looking for that. But just to understand, is it that, is it more around reduced promotional spending or wait outside kind of things to help achieve stronger pricing through the year?
Don Mulligan: Yes. Inflation is fairly leveled through the year. So, the 5% is pretty consistent. It may move a couple of basis points from here there, but pretty steady through the year. As I said, HMM will grow as global sourcing initiative to contribute. So, the gap between inflation and HMM will diminish as the year unfolds. SRM will be other driver of price realization and mix. And we’re looking at all the levers, whether it’s list price or price-pack architecture, the trade optimization and mix. And as we look at the year, I think we talked about this in July, we see each of those contributing about equally as the year unfolds. And you will see an increasing contribution from that as well as the quarters past.
Jeff Harmening: I’d like to build on Don’s comment, just to remind you. I mean, we saw good, price mix -- net price realization on all four of our legacy segments, as well as Blue Buffalo. And so, the strategic revenue capability management that we’re rolling out is we’re really taking it global and I like what we’re seeing across all of the different segments.
Operator: Our next question comes from the line of Michael Lavery of Piper Jaffray. Please go ahead with your question.
Michael Lavery: When you look at the distribution losses, can you give us a sense of where -- in what categories you think that should turn and become a positive tailwind, and how to think about the timing for something like that?
Jon Nudi: Michael, it’s Jon. In the U.S., again, we’ve made big strides over the past year. We were down 5 points of distribution in fiscal ‘18; in Q1, we were down 1, but share of distribution actually grew. So, if you look at the categories that we’re lagging right now, the biggest one is yogurt. And as Jeff mentioned, we’re actually seeing much improved trends, in fact grew share half-point in Q1. So, as we continue to build momentum and really prove that we can deliver in the category, particularly bring innovation and segments like simply better, we expect our distribution to build in yogurt and improve as we move throughout the year. So that would be the biggest delta that we see as we move forward.
Michael Lavery: And when you mention the innovation, obviously you’ve had some launches early fiscal ‘19 already. If you’re looking at distribution from gains from innovation, would you have a similar amount of innovation coming or is it a step-up? What’s the right way to think about the back half?
Jon Nudi: Yes. So, if you think about our yogurt launches, the biggest one was YQ by Yoplait which is off to a good start. That’s just launched in July. So, we’re still building distribution. I think at this point, we’re still only around 30% or 35% ACV. So, we expect that to continue to build. Oui Petites is another one that will build too. So, we expect both of those to continue to build throughout the quarter and throughout the rest of the year.
Michael Lavery: Okay. That’s helpful. And just the last one on the pricing. I know last year there was some accrual timing that distorted a little bit of the pacing or made the optics a little bit funny. Is there anything going on in this quarter that is similar to that?
Don Mulligan: Nothing material to note.
Operator: Thank you. Our next question comes from the line of Alexia Howard of Bernstein. Please go ahead with your question.
Alexia Howard: Hi. So, can I just ask about the Blue Buffalo profitability track here? It looks as though on an underlying basis, when you strip out the onetime items, it was probably down a bit in the first quarter. Is it mainly that the plant start-up costs really pressured profitability in the first quarter, and that that will improve as we move through the year? And then, can you quantify exactly how much Blue Buffalo benefited overall EBIT for the quarter as well? Thank you.
Don Mulligan: Alexia, let me get the first question. If you strip out the purchase accounting impacts, both the inventory and the ongoing amortization, the profit margins for Blue Buffalo will be about 20% and that’s versus a full year number last year about 23%. There’s about a point or so from plant startups embedded in there. So, the profitability as a percent of sales is actually pretty close to what it was for the full year last year. Now, we think that’s going to improve as the year unfolds. I mentioned, the driving factors, we’re going to see increased price mixed benefits. We’ve announced some pricing a couple months ago. And as we expand further FDM, we’ll get the product mix benefit of more wet and treat products. HMM and synergies are weighted to the back half. That includes opening a new warehouse that’s going to help offset some logistics inflation. And we expect stronger volume growth as well which will leverage fixed costs. So, all those will benefit the margins as we -- as the year unfolds.
Jeff Siemon: Let me just -- this is Jeff Siemon. I’ll just jump in your second part of your question. So, Pet segment was $14 million in profit. That’s about a little over 2% of the operating profit growth for the quarter, off of the base of a little over 600 last year.
Alexia Howard: Great, thank you. And just as a quick follow-up with marketing spending down year-on-year in the quarter, is that expected to continue? And then, I’ll pass it on.
Don Mulligan: Yes. Media spend, the advertising spend was down in the quarter. And Alexia, that’s part of as we talked about our total brand investment where we’re looking at a number of different vehicles and it’s really by brand. And I think the testament to the fact that that’s working is that we’ve had four quarters of organic sales growth. And so, we’ll continue to make sure we’re using the right vehicle for the right brand.
Operator: Thank you. Our next question comes from the line of Dara Mohsenian, please go ahead with your question from Morgan Stanley.
Dara Mohsenian: So, Jeff, just at a high level, following up on that question. A&M levels have been down pretty significantly, in aggregate, year-over-year over the last few quarters, if you go back to the back half of last fiscal year also. And I’m a bit surprised by that, just given the shift back to top line focus and a desire to drive accelerating organic sales growth going forward. So, help me understand what sort of driven that drop in the last few quarters? I understand, some of it’s going to other areas? But also, as you look out over the next couple of years, should that line item move up? Do you expect to continue to get leverage? What are you thinking going forward? And why has there been such a big drop in the last few quarters there? Thanks.
Jeff Harmening: Yes. Thanks for the question. I mean, I think -- let me start with the answer from a little different perspective, which is, look, our focus is on driving organic sales growth and driving that in most efficient effective way possible. And sometimes that’s through media spending, sometimes that’s through other types of commercial spending, things like in-store displays or coolers or adding to the sales organization in India. But, in this current year, what I’m pleased is in the first quarter, we kind of grew as I thought we would, which is we’ve improved our distribution here in the U.S., we’ve improved our new products as a percentage of sales, we’ve grown in all 3 of our top emerging markets in India and Brazil and China. And so, there are a lot of paths to growth. And we’re focusing on doing it the most efficient and effective way possible. It just turned that out in the first quarter of this year our media spending was down a little bit, even if our commercial spending was solid and we had good new product programs. And so, as we look out into the future, we’ll continue to -- we’re pretty pragmatic. And we’re looking to grow the most efficient and effective way possible. And if that’s media spending, we’ll spend more on media; if it’s more on in-store support on freezers for Häagen-Dazs, we’ll do that; if it’s building distribution or new products, we’ll do that. So, you’ll see a full variety of levers. And so, as we look out, I’m not going to give an advertising and media perspective, only because I think what we need to do is provide a growth perspective and then provide the means to get there.
Operator: Our next question comes from the line of Jonathan Feeney from Consumer Edge Research. Please go ahead with your question.
Jonathan Feeney: I apologize for the deep, detailed question, but I think it’s important; I want to understand what’s going on in Blue Buffalo. You gave us a lot of real helpful data. With the shift, the comparison from the period where they -- last year, they reported at June end and September end obviously gets a lot to tougher as you pointed out in your remarks. But I’m trying to understand how -- I guess how that extra month compares, like how much more difficult this comparison is Q2 versus Q1? And any comments you can make? Obviously, everything’s one month shifted forward, October comes in. How big was that and what was the kind of trend with that we can think about right now?
Jeff Siemon: Jon, this is Jeff Siemon. I’d just tell you that, if you think about the sell-in last year to the first wave of FDM customers, that really peaked in August, September, which are the first two months of Q2 for Blue Buffalo, because they’re on a month lag on our calendar. So, our first quarter for Blue Buffalo ended in July, sell-in in that first pipeline fill was really August, September. So, we’ll get the brunt of that difficult comparison here in Q2.
Don Mulligan: And Jonathon, this is Don. To put some numbers to it, as Jeff Siemon noted upfront, we posted the pro forma results for Pet, for our F18. And what you’ll see in that, Q1 sales last year for Blue Buffalo were $302 million, in Q2 jumped to 360; and then in Q3 it was 330. So, clearly, there was a pretty significant shipment to the customers, but it’s now our second quarter.
Jonathan Feeney: Right, which is -- I guess, which tells us, it’s right about in line with what the reported numbers were for Blue Buffalo independently. There isn’t much monthly shift there.
Don Mulligan: Yes.
Jonathan Feeney: And can I ask one follow-up, Don. As far as the total, where are you as far as the total channel ACV expansion? If anywhere, if you can comment on that plans, uptake, progress report as to where we stand as far as total distribution growth? Thank you.
Jeff Harmening: Yes. So, this is Jeff. Let me intercept that question from Don and take that. We’re -- if you look at the Food, Drug and Mass channel, we are about -- we only have about 30% ACV, and we only have it with Life Protection Formula only, roughly half of the Blue Buffalo product line. So, as we look ahead, there is a tremendous amount of expansion in front of us in the Food, Drug and Mass channel. And we think we can perform better in specialty and we’re performing really well in e-commerce. So, we see a lot of -- we think that we can drive growth in all 3 of those channels for the -- we can drive for improved performance in all 3 of those channels, certainly drive growth in Food, Drug and Mass and e-commerce for the rest of this year.
Operator: Thank you. Our next question comes from the line of Robert Moskow of Credit Suisse. Please go ahead with your question.
Robert Moskow: Hi. Good morning. Thanks for the question. I guess, two questions. One is, just very broadly, it’s surprising to me to see such a big difference between your reported sales and the Nielsen trends. Given that you launched a lot of new products, which I’d expect would fill the pipeline and also you have the e-commerce growth which I guess is not captured by Nielsen. You’ve mentioned some distribution kind of differences. Is that really the answer, it’s really like yogurt distribution, is that really what the difference is? And then, I have a quick follow-up.
Jon Nudi: Hi, Rob. This is John. I guess, again, for the U.S., we are planning for, and you’ve seen historically, about a 1 point gap between movement and RNS, and in Q1 it was 2 points. So, again, it was about a point different than what we’ve seen and what we expect to see for the year. So, again, we think that’ll come back to us. But beyond that, as retailers continue to draw down inventories and focus on working capital, we do expect to see that 1 point gap for the year.
Robert Moskow: Okay. And then, follow-up, I think Don, you said that you would expect, given the performance of new products, you expect a bigger investment behind them in second quarter that will pressure gross margin. Can you give me a sense of what that means? Is that more marketing support, or is it that these new products are lower gross margin mix in nature? Is it pricing? What kind of investment?
Don Mulligan: So, it wasn’t necessarily related to new products, I was talking about the gross margin, it was really the flow HMM versus inflation and our pricing build over the course of the year.
Robert Moskow: Okay. But, I think you said a bigger investment also in your response to Andrew Lazar’s question?
Don Mulligan: No. The point was, as we think about our total brand investment that you’re going to see it hit numerous places in the P&L, not just in media. And I referenced the fact that packaging forward would be an example of something that would hit gross margin, and certainly as we talked about, Oui has been one of the strongest marketing aspects of it.
Jeff Harmening: One of the others is customer activation funds, and where we’re getting in-store taco truck visibility, or other activations we’re getting brand as one in-store, that falls above the net sales line, which should also obviously pressure gross margin.
Don Mulligan: Yes. That wasn’t necessarily unique to Q2; that was just more of a comment as we think about the full-year.
Robert Moskow: Okay. So, maybe it’s a shift in media -- lower media and more towards these types of activities?
Don Mulligan: Yes, for sure. Year-over-year, we’ll see that. Yes.
Operator: Thank you. Our next question comes from the line of Bryan Spillane of Bank of America. Please go ahead.
Bryan Spillane: Two questions for me. One, just related to the pricing, the comments you made about price mix will build through the balance of the year. So, I guess, one, just how much of that has already been, I guess discussed with and sold in, and how much still has to sort of be negotiated or sold in? If we can get a sense for that. Just trying to get a sense for, how much could still be open to, I guess, some variability. And then, the second related to that is just, you kind of made a commentary about, just in general, there’s the retailers -- at retailers, there’s more price mix going in. And just why -- what factors are sort of allowing that to happen? Is it that more companies are coming through with SRM tools and being smarter about the way they can sort of negotiate pricing or if there’s some other factor that’s sort of enabling that to -- sort of go into the market?
Jeff Harmening: As we look at the broader food and beverage trends, I think, there’s been a lot written about pricing, and particularly, about how tough it is to get pricing in this environment with everything being so competitive. And it is a competitive environment. But, I think that’s only part of the story. The other part of the story is we’re actually seeing quite a bit of inflation for the industry, and we’re seeing it in a number of areas. So, we’re seeing it in raw materials; we’re seeing it in logistics; we’re seeing it in wage increases. And our retailers are saying the same things. And so, I think that to be honest, in some cases, part of the conversation that had been lost -- the part that it’s a competitive environment, has not been lost. But the part that there’s inflation across a wide spectrum of types of input costs, I think has been lost a little bit. And we all see that and our competitor see that and retailer see that. So, I think that the pricing mix we’ve seen in the marketplace -- and a couple of points of pricing is not a tremendous amount, and it’s certainly not egregious as -- when it comes to the kind of inflation that we’re seeing overall. And so, I think that actually explains why we’re seeing a little bit of pricing in the market, because both we, as manufacturers and our retail customers are all seeing their costs go up on a variety of fronts. As we look at our price -- as we look into the future, we’ll continue to work all four levers of price realization. So, whether that’s list pricing or trade or sizing or what have you, we will look at all the different elements. And we’ve sold a lot in already. And I’m sure there may be some to come, but we’ve sold a lot of them already all over the globe. And so, we’ve got a pretty good line of sight as to what to expect for the rest of the year.
Bryan Spillane: And I just had one follow-up. There was a couple of comments made about to 2Q, I guess with regard to spending and margins. And so, just as we’re looking at sort of the bottom-line, would we expect that the earnings growth or the earnings performance in the second quarter would still be -- the expectation would be that it would be suitable be below the full-year range or does it all net out to being something close to what you’re expecting for the full-year in terms of earnings growth?
Don Mulligan: Yes. But, we’re not going to forecast in the quarter. I think, we gave some sort of guidance on, some of the Q2 factors we see in response to David’s question on how Q2 will unfold on gross margin versus what we saw in Q1 and then some comments on Blue. I don’t think that we’re going to go any further than that in terms of discussing the quarter.
Bryan Spillane: All right. I figured, I’d give it a try at least. All right. Thanks, guys.
Operator: Our next question comes from the line of Jason English of Goldman Sachs. Please go ahead with your question.
Jason English: I guess, I wanted to come back with another question on the media horse, because I don’t think we’ve beaten it to death just yet. Can you quantify how much you’re A&P was down this quarter, both all-in with Buff and on a base business perspective?
Don Mulligan: Yes. All-in, it contributed to SG&A, it was down mid to high single digits, all-in and double digit on the base business. Again, I would just make sure that we also put that in the context of that we grew organic sales growth for the fourth consecutive quarter. So the levers that we are investing are paying off for us.
Jason English: No doubt, no doubt. And to a couple of questions, or in response to a couple of questions. I think you referenced a bit more trade spend going in and maybe you initially planned for the year in terms of customer activation. As we think about the full year and we think about the totality of your consumer facing spend, both from a trade perspective and from an A&P perspective, is this still tracking in line what you initially expected, or is it going to be higher or lower than what you set up as your initial expectation coming to the year?
Don Mulligan: Yes. Jonathan, it’s in the same range as we have planned, instead of maybe in different buckets. And again, I wouldn’t necessarily call it customer activation trade, it may hit that line but it’s different than -- the promotional spending, or the price discounting that most people associated with trade. But, I just want to make sure that that’s clear. But the total brand investment is going to be very near to what we had in the plan, in the same range of the plan and that was obviously informed part of our reaffirmation of our guidance.
Jeff Harmening: Let me build on Don’s point, as we roll around in the details of media spending and trade by quarter and so forth. I mean, what I feel great about is that we did what we said we were going to do in the first quarter. And we said we are going to grow organically, and we did. We said we we’re going to grow Blue Buffalo, we did. We said we’re going to meet our financial commitments, we did. We grew 8 of the top 9 categories in the U.S. We grew in Brazil, despite the trucking strike. We grew in China. We grew in India. We grew in Europe. We grew in C&F and across our core categories and we realized pricing. And so, I do appreciate the specific nature of questions about media. But the fact is that we deliver what we said we’re going to deliver in the first quarter of issue, both in the top line and the bottom line across our established business across Blue Buffalo. And if we can do that for few more quarters, we’re going to have a good year.
Jason English: I hear you. I asked just to understand, not to critique. Thank you very much for the time. I’ll pass it on.
Jeff Siemon: All right. Celina, I think that’s probably all the time we have, given that we’re at the bottom of the hour. So, thank you, everybody for joining us this morning. I appreciate the engagement. I’m available. I know we probably didn’t get to everybody quite on the queue. So, please don’t hesitate to reach out with additional questions today. Thanks very much.
Operator: Thank you. Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.